Operator: Greetings, and welcome to the Huntington Bancshares Second Quarter 2025 Earnings Call. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Eric Wasserstrom, Director of Investor Relations. Please go ahead.
Eric Wasserstrom: Thank you, and good morning, everyone. Welcome to our second quarter call. Our presenters today are Steve Steinour, Chairman, President and CEO; Brant Standridge, President of Consumer and Regional Banking; and Zach Wasserman, Chief Financial Officer. Brendan Lawler, Chief Credit Officer, will join us for the Q&A. Earnings documents, which include our forward-looking statements disclaimer and non-GAAP information and copies of the slides we will be reviewing are available on the Investor Relations section of our website, which is www.ir.huntington.com. As a reminder, this call is being recorded, and a replay will be available starting about 1 hour after the close of the call. With that, let me turn it over to Steve.
Stephen Steinour: Thanks, Eric. Good morning, everyone, and welcome. Thank you for joining the call today. Now turning to our results. I'll begin by outlining some key highlights, then Brant will talk about our opportunity with Veritex, and Zach will follow with a detailed review of the second quarter financials. As the environment around us continues to evolve, we remain committed to our vision of being the leading people-first, customer-centered bank in the country. We are focused on our core growth strategies and excited by the opportunities in front of us, including our recently announced acquisition of Veritex, which will greatly accelerate our growth in Texas. These opportunities are consistent with our long-standing aggregate moderate to low-risk appetite, which has delivered strong and consistent results through the years. For this reason, we are well positioned to maintain our strong performance. On Slide 5, there are 4 key messages we want to leave you with today. First, we're delivering a strong operating performance with robust organic growth in loans, deposits and fees. The business is performing exceptionally well. And through the second quarter, we are ahead of our plans for the year. I'd like to thank all of my colleagues for their extraordinary efforts this quarter and everything they do for our customers and company every day. Second, we're driving strong revenue and profit growth year-over-year, consistent with the strategy we shared at Investor Day in February. This performance is supported by our earning asset growth, expanded net interest margin, value-added fee services and positive operating leverage. Third, credit performance continues to be stable at a low level of losses, reflecting the proactive management of our loan portfolios and our rigorous credit screening and disciplined customer selection. And fourth, our strong financial foundation enables us to outperform through a range of potential economic scenarios. All of these factors contribute to our ability to support our customers, colleagues and the communities we serve while driving value for our shareholders. Turning to Slide 6. I'll recap our performance in the second quarter. We grew average loans by almost $10 billion year-over-year, supported by both core businesses and new initiatives. Average deposit growth also increased by almost $10 billion over the same time frame, highlighting the power of our deposit franchise to fund asset growth. Our deposit strategy remains focused on acquiring and deepening primary bank relationships, which we grew by 4% and 6% year-over-year in consumer and business banking, respectively. Importantly, we maintain disciplined deposit pricing while delivering this growth. Our investments in value-added fee services continues to deliver with 11% growth year-over-year in our strategic fee income areas of payments, wealth and capital markets. In the quarter, we drove adjusted CET1 higher to 9%, hitting the lower bound of our targeted operating range of 9% to 10%. Credit performance remains top tier as net charge-offs further improved by 6 basis points from the prior quarter to just 20 basis points. Our liquidity remains strong with 2x coverage of uninsured deposits. Notably, our tangible book value increased 16% year-over-year. This growth in capital per share, coupled with our strong level of adjusted ROTCE at 17.6% illustrates how our model is a powerful driver of value creation. We also advanced several strategic initiatives. We added a new middle market team in Florida and continue to roll out our full franchise expansion in North and South Carolina with branch openings. But most significant among our strategic advancements was our announced acquisition of Veritex. This combination will significantly accelerate our already strong organic growth in Texas. To recap the key elements of this important announcement, let me turn it over to Brent.
Brantley Standridge: Thanks, Steve. Looking at Slide 7. As we spoke about earlier this week, this partnership with Veritex brings 4 key benefits to Huntington. First, Veritex has a meaningful presence in Dallas-Fort Worth and Houston and will serve as a springboard for substantial future growth in the state. Second, it brings together an outstanding group of new colleagues who have deep local relationships and a strong commercial banking franchise. We are especially pleased Malcolm Holland will be joining us as Chairman of Texas. Third, this combination is fully aligned with our model of delivering broad-based capabilities and industry expertise through local relationships and enables us to bring our full portfolio of products and services to customers in Texas. And fourth, we view this transaction as financially attractive for both sets of shareholders and expect a seamless integration. Turning to Slide 8. We expect that our partnership with Veritex will generate several significant areas of opportunity. First, Veritex's reach and relationships will help us accelerate commercial lending and capital markets opportunities across commercial real estate, corporate, middle market and regional banking. Second, there are a range of incremental fee income streams we believe that will grow across both commercial and consumer customers, including in payments and wealth management. And third, we see the opportunity to fast track the build-out of a Texas consumer franchise. Veritex has more than 30 branches in the Dallas-Fort Worth and Houston MSAs, and we plan to add the full breadth of our branch-based and digital capabilities. In summary, the acquisition of Veritex is an important milestone for Huntington, and we're looking forward to closing this transaction in the fourth quarter. Now let me turn it to Zach to cover Huntington's financial results for the quarter.
Zachary Wasserman: Thanks, Brent, and good morning, everyone. Slide 9 provides highlights of our second quarter results. On a reported basis, earnings per common share were $0.34. As a reminder, this includes a $0.04 impact related to a securities repositioning and a notable item. EPS, excluding these items, grew 27% from last year. Return on tangible common equity, or ROTCE, was 16.1% for the quarter. As Steve noted, adjusted for the items this quarter, ROTCE was 17.6%. Average loan balances grew by $2.3 billion or 1.8% from the prior quarter. Average deposits increased by $1.8 billion or 1.1% versus the prior quarter. Reported common equity Tier 1 ended the quarter at 10.5%. Adjusted CET1 was 9%, up 40 basis points from last year and ended Q2 at the lower bound of our target operating range. As Steve mentioned, tangible book value per share continued to grow, increasing 16% year-over-year. We continue to demonstrate strong credit performance with net charge-offs of 20 basis points. Allowance for credit losses ended the quarter at 1.86%. Let's turn to Slide 10. We generated 8% year-over-year revenue growth and 8% year-over-year PPNR growth on a reported basis. On an adjusted basis, PPNR grew 15% year-over-year. As Steve said, the business is performing exceptionally well and continues to build momentum. Turning to Slide 11. Loan balances grew 7.9% year-over-year, driven in particular by strength in commercial loans and contributions from our new initiatives. During the quarter, new initiatives grew $900 million, accounting for approximately 40% of the total loan growth. The primary drivers within new initiatives were our Texas and North and South Carolina regions and among our national specialty verticals, the Financial Institutions Group and Funds Finance. Of the remaining $1.4 billion of loan growth from existing businesses, we delivered $500 million from regional banking, $500 million from indirect auto, $400 million from middle market and $200 million from Corporate and Specialty Banking. Partially offsetting this growth was a $240 million decline in commercial real estate balances. As we have highlighted previously, we are seeing a deceleration in the pace of balance decline in CRE as originations are accelerating while the rate of runoff is decreasing. Turning to Slide 12. Like Steve mentioned earlier, our results continue to demonstrate the strength of our deposit franchise. As I noted, average balances increased by $1.8 billion or 1.1%, driven by continued household growth and the deepening of primary bank relationships. Our overall cost of deposits declined by 1 basis point this quarter, reflecting our disciplined deposit pricing. On to Slide 13. During the quarter, we drove $42 million or 2.9% sequential growth in net interest income. This is almost 12% growth on a year-over-year basis. Net interest margin was 3.11% for the second quarter, up 1 basis point from the prior quarter. This increase included a 2 basis point benefit from lower drag from the hedging program. This was partially offset by a 1 basis point impact from higher average cash balances. As I noted at a mid-quarter conference, our expectations for our run rate NIM for 2025 have increased by a few basis points from the prior outlook, and we saw the benefit coming through in the second quarter. Turning to Slide 14. As just discussed, we held modestly higher average cash balances in the quarter, and our average level of cash and securities at quarter end remained at 28% of total assets. Turning to Slide 15. We continue to manage our hedging program to accomplish our core objectives of protecting capital from a potential higher rate environment while protecting NIM from a potential lower rate environment. Over the last year, we have reduced our asset sensitivity to a near neutral position, and we expect to maintain that relative neutrality for the next year. As you know, we frequently review the most likely paths of interest rates and actively modulate our positioning to the most likely scenario. Moving to Slide 16. On an adjusted basis, noninterest income increased by 7% or $34 million compared to the prior year. Our key areas of strategic focus, payments, wealth and capital markets collectively grew 11% year-over-year. These areas now represent 66% of the fee income mix, an increase of 6 percentage points from 2 years ago. Looking ahead, we see strong momentum across these businesses and expect them to remain key drivers of fee growth going forward. Moving to Slide 17. Within payments, we delivered 7% year-over-year growth in the second quarter, driven by an 18% increase in commercial payment revenues. Treasury management fees grew 10%, driven by continued success, deepening relationships across our customer base and growing contributions from our new merchant acquiring model. Our commercial card portfolio also performed well, achieving the second highest growth rate in commercial card spend across the industry in 2024 according to the recent Nielsen report. Moving to Wealth Management on Slide 18. Wealth fees continued to gain momentum and increased by 13% on a year-over-year basis. Assets under management grew 12% from the prior year, supported by a 12% increase in advisory households. Over the last 12 months, we have gathered approximately $1.8 billion in net flows as we deepen our advisory penetration into our customer base. Moving to Slide 19. Capital Markets grew 15% year-over-year, supported by commercial loan production-related capital markets activity, including notable strength in underwriting, syndications and financial risk management products. Turning to Slide 20. GAAP noninterest expense in the quarter was $1.2 billion, in line with the guidance I provided in the mid-quarter update. Growth from the prior quarter was primarily driven by incentive and performance-related compensation due to our increased outlook for revenue and profit growth this year. Our posture on expense management remains focused on driving positive operating leverage, both this year and over the long-range financial plan. We're pleased with the continued solid trend of operating efficiency improvements we are delivering. We continue to see strong traction in our programs to drive reengineering efficiency in our baseline operating costs, supporting sustained growth and investments to drive revenue. Slide 21 recaps our capital position. We continue to increase our common equity Tier 1. Our capital management strategy remains focused on our top priority of funding high-return loan growth while also driving adjusted CET1 inclusive of AOCI higher into our target operating range of 9% to 10%. Turning to Slide 22. We are executing on our strategic initiatives and achieving strong growth while maintaining our disciplined credit management approach. Credit quality continues to perform very well. The allowance for credit losses grew $37 million from last quarter and ended Q2 at 1.86%. Turning to Slide 23. Forward-looking credit metrics remain stable. The criticized asset ratio was 3.82%, while the nonperforming asset ratio has been in a tight range for several quarters. Let's turn to Slide 24. While economic uncertainty remains elevated, we are encouraged by signs of improving sentiment compared to earlier this year. The growth environment improved month by month during the second quarter, and Q3 is starting off quite strongly. The outlook illustrated on this page is for stand-alone Huntington, excluding the potential impacts from closing our acquisition of Veritex. We will provide an update on those impacts as we get closer to the close, which we expect to occur in the fourth quarter. On loans, we're seeing strong growth above our prior outlook, and thus, we are increasing our growth range to 6% to 8%. This reflects the robust performance in Q2 and our expectation for continued momentum into the second half. On deposits, we're raising our range to 4% to 6%. We are highly focused on expanding primary bank relationships and acquiring new households while remaining disciplined in our deposit pricing. For net interest income, we're increasing full year guidance to 8% to 9% from a prior range of 5% to 7%, reflecting the outlook for higher loan and asset growth and the benefits from the increased NIM outlook I referenced earlier. This level would represent record net interest income on a full year basis. We are maintaining the range for the expected growth in fee income at 4% to 6%. Where we end up in this range will largely be a function of the second half performance of capital markets. We are currently tracking to the lower end of this range. However, the pipeline for advisory revenues is strong, creating the potential for a robust finish to the year, similar to what we saw in the fourth quarter of last year. If that occurred, we could end up in the higher part of the range. On expenses, we forecast full year expense growth of 5% to 6%. Given the increased revenue and profit outlook for the year, expenses from incentive compensation and volume-related drivers will be higher than the original budget. We remain focused on driving positive operating leverage this year. Our latest outlook represents a larger amount of positive operating leverage for 2025 than the outlook from the beginning of the year. On credit, given the strong performance in the first half, we're lowering our full year net charge-off guidance to 20 to 30 basis points. I will also take the opportunity to share some color on expectations for the third quarter. We expect approximately 1% sequential growth in average loans. Deposits are expected to be approximately flat into Q3 with expected sequential growth into Q4. We anticipate net interest income to be relatively stable sequentially in the third quarter. Fee revenues are expected to be around $550 million. We expect expenses of approximately $1.220 billion, which will be about $20 million higher than Q2. Most of that increase is from the calendarization of marketing activities that are weighted this year to the third quarter tied to the rollout of the new Huntington brand campaign. We're very excited to unveil a new suite of TV, print and digital branding and messaging. We think it is a phenomenal representation of our legacy and where we're going in the future and will continue to power leading pace of growth in customer acquisition and deepening. Lastly, tax rate in the second half of the year is expected to be around 19%, consistent with our statutory rate and a bit higher than the first half level, which benefited from some discrete items. Turning to Slide 25. In closing, our focus remains squarely on driving long-term shareholder value creation, and our performance is a direct reflection of our disciplined execution. We operate a powerful scaled franchise with multiple growth levers, and our performance in the quarter underscores the durability of our model and ability to deliver on our medium-term guidance. Risk management is deeply embedded in our culture, and we've consistently demonstrated top-tier performance in stressed environments as measured by DFAST and CCAR results. Our focus on adjusted CET1 reflects the rigor of our capital management approach and our liquidity remains top tier in the industry. The organic growth we are driving continues to significantly outpace our peer group, supporting the attractive revenue and profit growth we're delivering and reinforcing our long-term value creation strategy and this position of strength opens up strategic options like the Veritex acquisition that will further contribute to our long-term growth. Our sustained growth in tangible book value per share and our strong return on capital are driving robust continued growth in the fundamental drivers of shareholder value. With that, we will conclude our prepared remarks and move to Q&A.
Eric Wasserstrom: Thank you, Zach. We will now take questions. [Operator Instructions]
Operator: [Operator Instructions] Our first question is from Jon Arfstrom with RBC Capital Markets.
Jon Arfstrom: Zach, a question for you on the new net interest income guidance range. It feels like you have enough momentum to hit the higher end of that range. But curious in your mind what you see as the threats to hitting that higher end.
Zachary Wasserman: Yes. Great question, Jon. Thank you. And I would agree, we are well on track to potentially hit the higher end of that range. As we give these ranges, we always want to be a little conservative given the uncertainty, but I think hitting the higher end of the range is certainly in the cards for us. And when I think about the kind of the ingredients to that, we are tracking well in the loan growth range, feeling really good about the momentum in loans, particularly even just into the third quarter here starting off very, very nicely. And then NIM, I think I'm sure we'll unpack NIM in further questions, but generally expecting NIM to be quite stable here in the back half of the year, and those 2 things together should be the product of that. I think I don't feel, to be honest, a lot of threat against that range. But I think the biggest thing that we're watching clearly is just the stability of the economic environment and the stability of the environment vis-a-vis some of the uncertainties that emerged earlier in the year. It doesn't appear that those are coming back in any substantial way, but were they too that, that could potentially present a headwind.
Jon Arfstrom: Okay. And then Steve or Brant, can you give us some of the feedback you've heard maybe pro and cons from internal and external partners on the Veritex acquisition announcement? I think some expected you to be acquisitive, others did not, given the core momentum. But just curious what kind of feedback maybe positive or negative that you received?
Stephen Steinour: John, I'll start, but I'm going to pass it to Brant because he's really been out front leading the diligence, and he'll lead the integration as well. We've gotten very good feedback. And we had encouragement over the last couple of years if we -- from some of our long shareholders, if we saw an opportunity to make a strategic acquisition to -- given the success of TCF to look hard at it. Now this one came together very quickly. It happened to be ideal for us because our focus has been Dallas and Houston. And as you saw on Monday from the announcement, we already have a sizable presence in Texas, and we've been there since 2009. We really like this Veritex team and Malcolm staying with us is a huge deal. We were there Wednesday and Thursday and met many of the employees, and we've got some great new colleagues coming on board. Brant, what would you like to add to that?
Brantley Standridge: Jon, really good question. We -- as Steve mentioned, we were there the last 2 days, and I'll tell you, we left even more impressed with the colleagues and even more opportunistic about the opportunity that exists. As we mentioned on the call Monday, there are a number of synergies that we believe exist, whether it's expanding retail banking, wealth offerings, expanding in our commercial bank and some of our specialty offerings there, new geographies that this potentially opens. All of those things we leave even more encouraged about the opportunity that exists.
Operator: Our next question is from Erika Najarian with UBS.
L. Erika Penala: My first question is for Zach. Zach, it seems like we're observing differentiation in deposit trends this quarter among regional banks. And I guess the question I have is, given your loan growth, it was notable that deposit costs -- interest-bearing deposit costs went down 2 basis points. I guess maybe talk a little bit about the competition you're seeing against perhaps some of the organic growth initiatives that I'm guessing are helping, and how we should think about deposit growth and deposit cost trends, again, like in absence of any rate cuts and what beta you could see if the Fed does cut.
Zachary Wasserman: Yes. Great question, Erika. Thank you. And just to kind of set it up, very pleased with how deposits are performing here. We came into the second quarter expecting deposits to be around flat in the quarter and ended up growing more than 1% and on a core basis, even faster than that. So the deposit gathering teams are just performing really, really well and obviously driven underlying by growth in primary bank relationships. And as you noted, we did see deposit costs continue to trend down into the second quarter. Our working expectation at this point is we'll continue to drive solid deposit growth over the back half of the year here, just given the slightly stronger loan growth as well that we're seeing. That will likely drive deposit costs in a pretty stable range from here, assuming no rate reductions. Obviously, if there are some rate reductions, I would expect to see further opportunities to drive down costs in light of that and beta performance like we've seen in the past. Not seeing any notable major change in the competitive environment. With that being said, across the industry, we are seeing an encouraging, frankly, sign of growth reoccurring now on the loan side broadly. And so presumably over time, that will drive some higher competition, but we're not seeing that at this point. And that's the posture we've got.
L. Erika Penala: And my second question would be for Steve and Brant. I think Jon asked about the feedback from the community and investors. And I'm wondering sort of what the feedback was from the lenders. I think Steve had a really good quote on Monday about a Texas bank for Texas businesses or something like that. And I guess I'm wondering how the Veritex lender sort of embraced Huntington coming from out of state. And also, you've mentioned that as you make impacts in the community, you started getting inbound inquiries. And I guess I'm also wondering as a follow-up to that, if that deal sort of also started maybe some inbound inquiries with other Texas teams.
Brantley Standridge: Erika, I'll start, and Steve may add to that. First of all, as Steve mentioned, we were there the last 2 days, and we had a chance to meet with many of the Veritex colleagues. And I will say that the general reaction from that group is excitement. Having Huntington will bring more capabilities to the table. They have a great customer base that they've established deep relationships with. And now there's a view that potentially they can do quite a bit more for those customers. There's also been quite a bit of customer outreach on the part of the Veritex colleagues. And from the customers, there is a view that there will be more opportunity, more opportunity to expand a larger balance sheet, more capabilities. There's also a level of excitement around our local structure. This is an organization that's obviously been headquartered in Texas. And now with our regional structure and regional presidents in Texas, Malcolm as the Chairman of our Texas organization, that creates a level of comfort, a level of sense that, that team will own the success of our Texas business. And I think there's a great deal of optimism as to what the collective team and what we can do in this partnership together to really expand there in Texas.
Stephen Steinour: Erika, I'll add. We also visited with our team in Texas and felt an equal level of excitement. Our confidence in making this move was in part predicated on the success and growth we've had since 2009. So we've got a couple of hundred colleagues in Texas, 100 forward-facing bankers, and they've just done a great job for us. So the combined teams will have a couple of hundred new business-oriented individuals and give us the opportunity to put the full platform in place for our capabilities. So this is a big deal for us. We think it's a springboard. We're very excited. We will continue to invest in Texas, and we're getting some inbounds as we've seen in the past. So we're going to build it out. Texas alone, Brant, I think, shared [ Monday, ] huge economic engine and Texas will become our third largest state in terms of deposits when we close this. So very, very grateful for the opportunity to work with Malcolm and the terrific team at Veritex.
Operator: Our next question is from Manan Gosalia with Morgan Stanley.
Manan Gosalia: Zach, I was wondering if you can unpack the change in the expense guide. I think you mentioned incentive compensation being higher, and that's, I guess, fair given the better top line. But if NII reaches the higher end of your guidance range, is it fair to assume that expenses will reach the higher end, too?
Zachary Wasserman: Yes. Great question, Manan. Thank you. And as you noted, and I highlighted in the prepared remarks as well that really the primary driver of a slightly higher expense outlook is the higher revenue and profit outlook for the year and that's being reflected into incentive compensation. I will also note that just higher volumes generally have driven some of the costs higher as well, again, which is -- it's a high-class problem clearly. Overall, the way we look at it, we love how this is shaping up here. We have more positive operating leverage now than we had in the original budget, something like 0.5 point to maybe even 1 point more operating leverage. So it's really good. I would note that part of what happens when you see kind of midway through the year like we are this year that the year really is trending so strongly, you've got to catch up in some of that accrual of incentive compensation. So the part of the growth into Q2 was a sort of catch-up of accruals that would have otherwise been made earlier in the year if we had known the outperformance earlier. So we feel really good about it. I do think that we try to calibrate these ranges generally, so they're all consistent with each other. So to the extent we're at the higher end of the revenue ranges, then you're at the higher end of the expense range as well to answer your question specifically about that.
Manan Gosalia: Got it. And then secondly, on loan growth to maybe nitpick on what is a good story. The growth from the new initiatives slowed this quarter. Is it getting more competitive as some of your peers ramp up? Is it just a base effect? Or maybe I'm just reading too much into a quarter number?
Zachary Wasserman: So you may be nitpicking Manan a little bit more than probably is reasonable. Honestly, we see just a terrific level of production, something like $1 billion of growth here. And as you look out into the back half of the year, we're expecting to see that or better continued contribution. Remember, there's seasonality in all these businesses here. So I wouldn't attribute too much to it. We obviously had a very, very strong fourth quarter and first quarter here. But I think the run rate we're on is pretty solid and should continue to support as we look out into '26 and beyond, not to give formal guidance, but we continue to see the opportunity to drive mid- to high single-digit loan growth and those new initiatives being a big part of that.
Stephen Steinour: And Manan, we had a number of loans and capital markets activities just spilled into July. So we actually had a very strong start for what's typically a slow couple of weeks.
Operator: Our next question is from Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: Maybe I guess, given all the Texas focus, maybe I was wondering if you or Brad could spend some time on just give us a mark-to-market on Carolinas in terms of the build-out. Are we still looking to hire new bankers, kind of the time line of new branch openings? Just would love to know how all of that is gaining traction and kind of outlook there.
Brantley Standridge: Ebrahim, it's a very good question. We remain incredibly optimistic about Texas, North Carolina and South Carolina. In fact, as you know, if you look at the performance of those markets from an economic perspective, those combined are outpacing the rest of the country in job growth and population growth by almost 2x. And so we're going to continue to invest in both. We continue to look for really strong bankers to support what we're doing in North and South Carolina, and we feel good about where we are today. We are continuing to build out our branch network. We've opened 2 already. We have several more opening between now and the end of the year. And next year will be our big year for that. We'll have more than 20 open next year. So we continue to invest there. Obviously, we've talked a lot about Texas this week and the investment, and this will create a springboard for potentially more.
Ebrahim Poonawala: And just on that, and I appreciate that probably for now, the strategic priorities are clear over the next 6 to 12 months to get VBTX done, what you said. As you look forward, from an inorganic standpoint, would it make more sense to do additional deals in Texas versus Carolinas. Just are there differences in the markets where M&A is a better way to incrementally grow versus the other?
Stephen Steinour: The way we think about Ebrahim is we're going to drive the core. That is our focus. We've had a terrific couple of years. We have clear momentum as we go into the back half of this year. and many of the investments are not mature, they're not performing at what will be their mature levels. So we're optimistic about '26 and beyond in terms of core growth. We happen to find an opportunity to combine with a terrific organization, great people, the leadership that Malcolm will provide on an ongoing basis, an important part of our overall consideration. And we do think Texas is like to do business with Texas, and we now have hundreds of bankers in Texas once we close this partnership. But we're going to look to drive the core in Texas as we do in the Carolinas and elsewhere in the franchise.
Operator: Our next question is from Steven Alexopoulos  with TD Cowen.
Steven Alexopoulos: I wanted to first drill -- so on the funding strategy, it looks like you plan to use up some of your excess liquidity in the half and even in the third quarter. What's the thought behind not growing deposits a bit more aggressively here to [indiscernible] loan growth? Is it competitive environment today, or because you guys expect rates will be lower over the next couple of quarters. what gives you to be patient here?
Zachary Wasserman: Yes. Steven, thank you. You were clipping out a little bit as you spoke, but I think I got the gist of your question. So I'll I'll take that. And look, really, what I would characterize what we're doing now is just intense optimization of funding and loan growth to drive the best NIM outlook that we can. And I mentioned in the prepared remarks that we were running with a little bit of cash in the second quarter, frankly, as a function of how strong the deposit gathering had been. It just gives us the opportunity now to fund leveraging some of that and optimize NIM and really just continue to keep everything in a great balance. I do think the deposit gathering program is very much continuing. And as we get into Q4, I would expect sequential growth again and generally, as we look out over time, and certainly, that's our advanced planning for 2026 at this point. I expect to see deposit growth fairly well matching loan growth over the longer term.
Steven Alexopoulos: Got it. May be just drill in the noninterest-bearing deposits were down in the quarter. I don't remember you guys ever been in [ 17 [indiscernible] ] I'm curious if that's a trough. And is this a function of customers' cash right in their business, which is a positive indicator for the loan growth? Or are customers are migrating out into higher-yielding products?
Zachary Wasserman: Yes. Good question. We're seeing pretty stable trends from here in the overall noninterest-bearing mix, not expecting anything really significant in terms of trend in the next couple of quarters here. The way we look at it is really low-cost funding and kind of checking being part of that. And if you -- 1 of the slides we have in the presentation highlights the growth in checking, which is a great category for us, lower in the spectrum of costs, as you know, and that's been growing pretty nicely. So I think that in the actual noninterest-bearing category, some modest continued mix shift, but not much. But really, our focus is in growing that kind of lower overall category of funding cost and checking and that's some really nice performance there over the course of this year.
Operator: Our next question is from Ken Usdin with Autonomous Research.
Kenneth Usdin: Just a quick question on the NII for the 3Q, it's stable. So we've got a day back, and then there's a lot of balance sheet momentum. Just wondering what's driving the flat potential results for the third quarter and why that could -- why would it be better? Like what's the negative as an offset?
Zachary Wasserman: Good questions. This is Zach. I'll take that one. It could well come in better. I think I'm expecting a couple of bps likely lower NIM, probably trending around the 308 to 310 level for Q3 and Q4. So that's just a little bit of extra headwind there. I think if I unpack the NIM into the third quarter, 1 thing that we're seeing is a bit more a few basis points of hedge drag coming back up as some of our forward starting to receive fixed swaps come online and some of the pay fixed swaps that we've had over the last couple of years begin to mature. Obviously, still also benefiting, however, from strong asset repricing trends. And as I just noted in Steven's question, a bit of optimization of cash and securities into the third quarter. So that's really the modest headwind there, but it will still represent, I think, 8% to 9% year-over-year growth in spread revenues are really, really strong, and that's what the full year is tracking to also over the course of this year.
Kenneth Usdin: Okay. And then just 1 on the fees and similar, you mentioned towards the low end, but with capital markets, a bit of a flex factor. Can you just talk about the the growth drivers that you're seeing on the fee side aside from the plus or the minus around capital markets?
Zachary Wasserman: Yes, absolutely. Great question, Ken. If you think about our fee drivers, and we profiled this in a lot of [indiscernible] Investor Day in February, payments, wealth management, and of course, capital markets are the 3 primary areas of growth. And those 3 areas together grew 11% year-over-year in the second quarter, which, by the way, is pretty emblematic of the long-term growth rate we expect to see from those really, really significant opportunities over not the short term, but the longer term there. In terms of payments, we continue to see commercial payments, treasury management and our merchant acquiring business really being key areas of continued sustained growth. Over the back half of the year, and I'd expect to see similar kind of growth rates to what we've seen recently as we continue on over the next several quarters. Wealth as well continues to perform very, very well. The team is just really, really executing the plan, growing households, growing AUM, really driven fundamentally by the acquisition of new assets under management and positive net flows. So those are really the kind of the year-over-year growth trends we've been seeing [indiscernible] and Wealth Management are quite consistent now with over the next several quarters as well.
Operator: Our next question is from Peter Winter with D.A. Davidson.
Peter Winter: I wanted to -- I realize you guys are focused on generating top quartile profitability, and you have very strong ROTCE -- you had strong positive operating leverage this quarter, but -- how are you thinking about the efficiency ratio over the medium term? It has been stable the past 5 quarters, around 59%, and the top quartile banks are kind of in the mid-50s.
Zachary Wasserman: Yes. Good question, Peter. I'll take that. And a couple of things I'd say. One is, we don't look at the level of efficiency ratio per se as any sacrosanct target it is so much, as you know, a function of the mix of the revenue characteristics of the company between spread and fee revenue and even kind of the mix of fee revenues, as you know. So what is much more important to us than the level is the trend. And ultimately, I think I mentioned earlier on questions that we're expecting to see very, very strong expansion in operating leverage this year, and that really contribute to a continued improvement in the efficiency ratio as we go into the back half of this year and our working 1 range plan continues to integrate positive operating leverage each year as we go forward as well, just to continue to grind that lower.
Stephen Steinour: Peter, this is Steve. We believe we still have substantial investment opportunities in a number of these newer businesses and certainly the geographies that we're in. And assuming we can drive profitable growth at the levels that we have historically we would continue to invest and so that will put a little bit of restraint on translating the operating leverage into a better efficiency ratio over time. Over time, we will clearly meaningfully improve that efficiency ratio.
Peter Winter: Got it. And then if I could ask, credit is strong, but there was a $76 million increase in nonperforming assets on the C&I side. I was just wondering what drove the increase? And if you could just talk about how criticized loans are tracking this quarter?
Brendan Lawlor: Sure, Peter, this is Brendan. I'll take that for you. With respect to criticized loans. We did see a decrease down to 3.82% of the total loan book. And a lot of that came through. There was a 5% decrease in our substandard category. So we are seeing the improvement on the deeper part of the good sized book the NPAs for the quarter were up mostly, as you said, overall, we've been in the sort of 60 to 63 basis point range for the last 6 quarters. The $76 million you referenced specifically, there's really -- there's not a major there. It's just one-off transactions that moved into that category as we actively manage the portfolio.
Operator: Our next question is from Chris McGratty with KBW.
Christopher McGratty: Zach, on the [ optimum ] leverage, I think in your prepared remarks, you talked about you're getting more than you thought at the beginning of the year. I'm interested, does this narrative get easier, harder about the same as you kind of go into next year?
Zachary Wasserman: Yes, it's a good question, Chris. Thank you. And look, the trend level of operating leverage that we're generating at this point, something between 1.5% and 2% is a pretty solid level, clearly. Generally speaking, as we do our budgeting over the long term, we're looking for something like around 1% or 1.5% operating leverage on a year-by-year basis. So it's not that different. Clearly, we've seen a very nice pickup in NIM this year relative to last year, and that's really contributing, but fees growing nicely as well. And the whole expense management program is operating. You can't -- couldn't be more pleased with how we're driving reengineering into the base, funneling additional expense capacity into investment categories and keeping the overall expenses growing at a really well controlled level. So it's not that dissimilar, but certainly, really pleased with how we're doing this year.
Christopher McGratty: Great. And as my follow-up, I'm interested in just deposit pricing differences in your legacy and new markets, trying to think about funding the growth initiatives, the 60-40 that you're kind of running with now? Is there notable differences in your Midwest markets versus your Southeast?
Zachary Wasserman: Look, I mean, every market is different. So it's really hard to generalize in that way. I would say the places where we have just great depth and density in our business. We often have the strongest deposit gathering performance, but it's really hard to generalize. We're seeing good performance across the board. And I'll tell you just it's an exceptionally rigorous process as we optimize for the next unit of where deposit gathering is happening. And so really, really efficient kind of across the board here.
Operator: Our next question is from Matt O'Connor with Deutsche Bank.
Matthew O'Connor: Just want to ask about the targeted capital levels kind of more medium term. You've got to the low end of your range, including AOCI. I know you just got not buy back stock until the deal closes. But how do you think more medium term, like whether it's the lower end or the higher end of that 9% to 10%, you screen real well in [ Key CAR. ] There's positive drivers there for others this past cycle. So I feel good about years going forward. There's maybe some relief from the rating agencies. So how do you think about that 9% to 10% in light of that?
Zachary Wasserman: Look, the [ 9% to 10% operating ] range for adjusted CET1 is a really good range for us. And one, as you know, the way we think about capital is always wanting to be strong, always wanting to be in a position of strength, not only with capital, but frankly, with liquidity with credit, with all elements of the business to be able to to really be there for our customers through the whole cycle and ultimately capture opportunities, particularly in times of disruption more broadly in the economy and that clearly played out extraordinarily well for us the last couple of years. So we always want to be on the conservative end here. With that being said, we're really pleased to hit the low end of that operating range in the second quarter. Our assumption at this point is we'll continue to drive higher into that range up towards the midpoint of the range. But even as we do that, we'll be able to both accomplish the goal of funding high-return loan growth and gradually beginning to do regular capital distributions in the form of repurchase once we get through the the close of the Veritex acquisition. So I think the thing that is very encouraging to us is just as we're executing the program to drive strategically the return on capital higher, 17.6% adjusted basis in the second quarter is a good example of that. The internal earnings power and capital generation at the model will really create a lot of flexibility to accomplish all these goals.
Operator: There are no further questions at this time. I'd like to hand the floor back over to management for any closing remarks.
Stephen Steinour: So thank you for joining us today. In closing, our teams continue to deliver exceptional results. We're very pleased with the quarter. highlighted by our leading loan deposit and PPNR growth. We have never been better positioned and we're confident in our ability to drive continued strong performance. So finally, thank you to the nearly 20,000 heights of colleagues. We obviously not be able to take care of our customers to drive this outstanding performance without your phenomenal efforts. And let me say welcome to our new colleagues who have been joining us from Vertex. Thank you for your interest in Huntington. Have a great day.
Operator: This concludes today's conference. We thank you for your participation. You may now disconnect your lines.